Operator: Good day everyone, and welcome to the Third Quarter 2016 Earnings Call of Everest Re Group. Today’s conference is being recorded. At this time, for opening remarks and introductions, I would like to turn the conference over to Ms. Beth Farrell, Vice President of Investor Relations. Please go ahead, ma'am.
Elizabeth Farrell: Thank you Keith. Good morning and welcome to Everest Re Group’s third quarter earnings conference call. On the call with me today are Dom Addesso, the Company’s President and Chief Executive Officer; Craig Howie, our Chief Financial Officer; John Doucette, the President and CEO of our Reinsurance Operations; and Jon Zaffino, President of our North American Insurance Operations. Before we begin, I will preface our comments by noting that our SEC filings include extensive disclosures with respect to forward-looking statements. In that regard, I note that statements made during today’s call which are forward-looking in nature, such as statements about projections, estimates, expectations and the like, are subject to various risks. As you know, actual results could differ materially from current projections or expectations. Our SEC filings have a full listing of the risks that investors should consider in connection with such statements. Now, let me turn the call over to Dom.
Dominic Addesso: Thanks, Beth. Good morning and welcome to our third quarter earnings call. This morning we have very positive results to report, although many are probably already more interested in next quarter as a consequence of Hurricane Matthew, we will get to that but first a bit about the third quarter. As you have seen the operating earnings per share were $6.53 which translates to a 14% annualized operating ROE, this of course leads expectations impart due to another light cat core, however that is only part of the story. Overall, the attritional combined ratio has improved year-over-year and I believe represents the more relevant part of the message. In both the reinsurance and insurance segments, there is positive movement. Reinsurance for example on a year-to-date basis has improved the attritional combined ration from 82.7 to 80.7, this is partially due to a lower frequency large risk losses, but also a result of continuing to modify our portfolio in the phase of a declining rate environment to achieve the best risk adjusted return. In addition and perhaps more impactful are the newer lines of business we are taking on, which in general include mortgage and credit exposure as well as structured products, John Doucette will give some detail on these individual reports. On the insurance side, the story is also favorable after excluding Heartland, as you know was our crop operation that was sold during the quarter. Excluding crop, the North American insurance operation reported a year-to-date attrition combined ratio of 96.4%. This is higher than our longer term objective partly due to an increased expense ratio, as we are currently ramping up and investing heavily in this segment, both domestically and internationally. This is consistent with the strategy we have discussed in the past. Build versus buy strategy has been our best option as we have been able to capitalized on the Everest brand, and the talent availability coming from recent M&A transactions as well as corporate restructurings. Also elevating the insurance attritional combined ratio this year was an abnormally high level of weather event. Taking all this into account, we are extremely pleased with our portfolio on how the operational build is progressing. Jonathan Zaffino will later give you further detail on the insurance operations. To sum up our reinsurance and insurance operations generated underwriting income excluding cat losses through the nine-months of $583 million, which on average is almost $200 million per quarter. When combined with average quarterly investment income operating earnings are in the range of approximately $315 million per quarter before cat losses. At our effective tax rate that equates to approximately $275 million. This number is relevant as you begin to think about the impact of Hurricane Matthew on fourth quarter results. Currently our modeled estimate, for an industry loss that ranges between $3 billion and $9 billion are $75 million to $200 million net of taxes in reinstatement premiums. At this early stage, this is our best estimate and would appear to be containing within our otherwise normal quarterly operating earnings. Turning to other items of note, first is that investment income was above the prior year's quarter and on a year-to-date basis essentially flat. Given the current investment environment and the current reinvestment rates are lower than the maturing assets this is an outstanding result. Not unlike underwriting portfolio, we take similar action on the investment front. Rotation into good risk adjusted bets has been the strategy, which has maintained yield but with one of the lowest data in the industry. Second was the aforementioned sale of our crop operation in the third quarter. And clearly we are not at the scale we needed to be in order to be sufficiently profitable. The outcome was essentially a transaction, which converted our insurance book into a reinsurance program, taking the advantage of the expense synergy that our client can bring to bear in larger portfolio. Finally, I would like to highlight the $200 million of share re-purchases that we have made since last quarter. This brings the year-to-date number to $386 million. We continue to manage capital with an approached that considers our long-term business opportunities. This essentially means that while we do buy in capital our bias is that we will continue to find ways to put capital to work profitably and grow the franchise. Our history would suggest that we have managed this effectively. And therefore as always we elect not to give guidance on this point to maintain our flexibility. While current market conditions in our point of any rapid growth there remain numerous opportunities to put capital to work. In particular we see a continued pace in insurance segment as well as specialty areas in the reinsurance sector. Therefore, for now, we will maintain our current capital management strategy of share repurchases and dividend at a level less than our projected earnings. With that I would like to thank you and turn it over to Craig for financial highlights.
Craig Howie: Thank you, Dom and good morning everyone. Everest had a solid quarter of earnings with net income of $295 million, this compares to net income of $89 million for the third quarter of 2015. Net income includes realized capital gains and losses. On a year-to-date basis, net income was $623 million compared to $621 million in 2015. After-tax operating income for the third quarter was $273 million compared to $200 million in 2015. Operating income year-to-date was $630 million compared to $755 million in 2015, a primary differences were catastrophe losses and foreign exchange. The overall underwriting gain for the Group was $432 million for the first nine-months compared to an underwriting gain of $498 million for the same period last year. On a year-to-date basis, the overall results reflected gross catastrophe losses of $151 million in 2016 compared to $61 million in 2015. In the third quarter of 2016, the Group saw $18 million of catastrophe losses, these losses primarily related to the Hurricane Hermine in Florida, this compares to $34 million of catastrophes during the third quarter of 2015. The overall current year attritional combined ratio for the first nine-months was 85.2%, down from 85.8% for the same period in 2015. The 2015 attritional ratio included $60 million loss estimate for the explosions at the Chinese port of Tianjin. Our year-to-date expense ratio was 5.8% as we anticipated with the build out of our insurance platform and our Lloyd's Syndicate. For investment, pre-tax investment income was $123 million for the quarter and $358 million year-to-date on our $17.5 billion investment portfolio. Investment income year-to-date declined only $5 million from one year ago. We have been able to maintain investment yield without a dramatic shift in our overall investment portfolio. However, as Dom mentioned, we have gradually shifted allocations within our alternative investment bucket to de-risk the portfolio. We have reduced our exposure to emerging market debt and public equity while committing more toward fixed income, limited partnership investment, all while maintaining a conservative, well diversified, high credit quality bond portfolio. The pre-tax yield on the overall portfolio was 3% and duration remained at about three year. Foreign exchange is reported in other income, foreign exchange gains were $2 million in the third quarter. Year-to-date foreign exchange losses were $29 million, compared to $62 million of foreign exchange gains in the first nine-months of 2015. Both of these results are unusual and represent $91 million pre-tax swing year-over-year. The 2016 foreign exchange losses primarily reflect the relative strengthening of U.S. dollar against other world currencies including the British Pounds and the Euro. The foreign exchange impact is effectively an accounting mismatch, since it's offset in shareholders equity through translation adjustments and unrealized gains due to the positive impact of holding foreign investments that are available for sale. Overall, we maintain an economic neutral position with respect to foreign exchange, matching assets with liabilities in most major world currency. Other income also included $10 million of earnings and fees from Mt. Logan Re in first nine-months of 2016, compared to $15 million of income for the same period last year. The decline essentially represents the higher level of catastrophe losses during 2016. On income taxes, the 13.2% year-to-date annualized effective tax rate on operating income was lower than the 14.8% tax rate at this time last year. This is primarily due to foreign exchange losses and the higher level of catastrophe losses in 2016. A 13 to 15% effective tax rate on operating income for the full-year is in line with our expectations, depending on the amount of catastrophe losses for the remainder of the year. Stable cash flow continues with operating cash flows at $951 million for the first nine-months of 2016, compared to $802 million in 2015, which in part is reflective of our strong reserve position compared to actual paid losses. Shareholders equity for the group was $8 billion at the end of the third quarter, up $433 million or 6% over year end 2015. This is after taking into account capital return through $379 million of share buybacks, and the $144 million of dividend paid in the first nine-months of 2016, which combined represent a return of 84% of net income. Additionally, we repurchased another $7 million of stock after the third quarter close. These purchases will be reflected in the fourth quarter of 2016 financial statement. Book value per share increased 10% to $196.67 from $178.21 at year end 2015, generating 12% growth in shareholder value including dividends. Our strong capital balance leaves us well positioned for business opportunities as well as continuing share repurchases. Thank you and now John Doucette will provide a review of the reinsurance operation.
John Doucette: Thank you Craig, good morning. We are pleased to report another strong quarter for our reinsurance operation, delivering $203 million of underwriting profit to the bottom line. This compares very favorably to Q3 last year, with profits up $87 million quarter-over-quarter. The difference is predominantly driven by higher cats and the loss of the Chinese port Tianjin last year, ultimately resulting in about an eight point improvement to the combined ratio to 80.1% this quarter. The attritional combined ratio also dropped from 85.2% to 78.9% as the Tianjin losses added six points to the third quarter attritional loss ratio last year. Despite the soft market conditions, we successfully executed our reinsurance strategy with our global reach, long standing client and broker relationship, responsiveness, strong and sizeable balance sheet and innovative capital structures, sustaining and even modestly growing our premium writing. For the quarter, our total reinsurance segment gross written premium was $1.25 billion, up 1% from Q3 last year, on a constant currency basis premiums grew 2%. Our total reinsurance net written premium was $1.22 billion for Q3, up 13% from last Q3. The net premium result was affected by the Heartland sale and the assumption of this crop portfolio out of the insurance segment and into the U.S. reinsurance segment. Year-to-date, our gross reinsurance premium was down 3% but down only 1% on adjusted for currency movement. On a net basis year-to-date reinsurance premium were up 1%. The U.S. reinsurance premium growth was strong in the quarter, up 9%, due to growth in structured reinsurance transaction in particular in the mortgage and credit space. In addition, the increased premium on facultative casualty and crop reinsurance business. This was offset by lower premium on weather, Marine, surety and property pro rata business. Notably the structured reinsurance deals required broad expertise and scale to execute and often provide significant benefit over and above the pure risk transfer and consequently are not subject to the same pressures as the remainder of the reinsurance market. The segment combined ratio was up to 78.4% from 73.8% Q3 last year. We had 3.4 points of cat losses versus none in the prior Q3. This driven this quarter by Hurricane Hermine and some development on events that occurred earlier in the year due to late reporting. Our attritional loss ratio was up almost five points due to non-cat weather events in Texas and the Midwest in addition to a higher loss ratio on the new crop reinsurance premium. Conversely the crop reinsurance premium has lower expenses contributing to the 2.3% decline in the commission expense ratio. Our international reinsurance segment premium was down 4% for the quarter, but only 2% on a constant dollar basis. This was primarily due to lower property pro rata business in the Middle East, which was offset by growth in our Latin America and international factors. Overall, we had better attritional ratios due in part for the Tianjin loss last year as well as better experience in certain region. Lower cat, including the least prior year catastrophe reserves further benefitted results this quarter. Our Bermuda segment premiums were down 9% or 7% on a constant dollar basis, driven by lower motor business in Europe. Excluding FX, we saw growth in London this quarter. Overall, the combined ratio improved 6.8 points to 19.7%. The current year attritional loss ratio was down about 15 points with roughly half due to the impact of the Tianjin loss in last Q3. This was somewhat offset by higher commission expenses due to changes in business mix. Recently, the reinsurance industry was confronted with its first significant borrow to win loss over a decade, but Matthew will be a lesser impact to the industry than initially feared. Nonetheless, we are comfortable that our exposures are well controlled given the gross portfolio we have built as well as the various mitigation tact that’s being forth. Additionally, our global diversification across various lines of insurance and reinsurance buffers the group loss and such event making them manageable. Although, Matthew will not be a game changing loss for most collateralized or traditional players, it may tests the functioning of various collateral mechanisms. As a buyer of both traditional and collateralized reinsurance, we are familiar with the complications and potential headaches of collateralized arrangement. These complications compound with uncertainty around the ultimate outcome of a large event such as Matthew, given new season and untested claims management process. However, while Mt. Logan provide significant collateralized support ultimately serving our client, it stands behind Everest and is in visible through our season, unburdening them from the inherent complexity of such arrangement. With the suite of solution to best match the risk capital including our $8 billion of equity, Mt. Logan, our catastrophe bond and other internal and external sources of capital, we offer our client meaningful capacity from a trusted partner. And we continue to look for ways to broaden our value proposition to our clients with these various solutions. Mt. Logan in particular continues to draw interest of new investors including various pension fund and we look forward to increasing the scale and the scope of the benefit that Logan provides to Everest client and shareholders. With respect to the current activity in the market and looking ahead to 1/1 renewal, the reinsurance market seems to be trying to find the floor with many underwriters resisting furthering the rate concessions over the last several renewals. Many competitor's management teams are increasingly realizing that the returns may no longer cover their cost of capital, assuming a normalize level of cat losses and also seeing that they can easily miss earnings estimates with a few large risk losses or small medium cat event. Everest with its significant expense advantage and broadly diversified global portfolio continues to produce solid returns despite to competitive rate environment. As the business is also stabilizing and the market is taking a stand against further increases [indiscernible] session. We have also seen some aggressive firm order terms for casualty placement face stiff resistance in the casualty treaty markets. In addition, some of the loss activity seen by our clients, spark demands for facultative casualty reinsurance, and we continue to see increased demand in the mortgage credit area. The casualty reinsurance pricing stabilization is offset somewhat by the moderate decreases in a regional casualty and E&S rate. We also remain cautious of new large capacity in the broker markets. Nevertheless, as large insurers continue to bundle their program, they are seeking partners like Everest, who have underwriting expertise in all classes of business and in multiple territories around the world. This plays into our strength as a large diversified global reinsurer that addresses the market with decades of relationships and creative, responsive underwriting all at a significant scale. Thank you. And now, I’ll turn it over to Jon Zaffino to review our insurance operation.
Jonathan Zaffino: Thanks John and good morning. I’m pleased to share with you third quarter results for the Everest Global Insurance Operations, similar to last quarter and a consideration of the divestiture of Heartland on August 24th. I will be discussing our quarterly results excluding this business. The full results of the insurance segment inclusive of Heartland are covered in our financial supplement released yesterday. As respect premium production overall, our many strategic initiatives align towards a singular objective of building a world-class specialty diversified insurance organization continue to gain momentum. Many of the new underwriting divisions incepted over the past several months are showing increased contributions to our growth and ultimately to profitability. Third quarter marks the seventh consecutive quarter of underlying growth for our global insurance business again excluding Heartland. As a result of these efforts, gross written premium in the quarter expanded 25% over the prior year quarter to $371 million. This is reflective of the continued investments we have made in our U.S. and London platforms along with the continued strong contributions from our Canadian and Accident and Health operations. Net written premiums for the quarter increased 23% compared to third quarter of 2015 to $318 million, which is in line with our net-to-gross ratio for the second quarter. On a year-to-date basis, gross written premiums increased by $185 million or 19% over the prior year period to $1.1 billion. Likewise, net written premiums increased a $129 million or 15% to $970 million which again was in line with our expectation. Turning to the combined ratio, the GAAP combined ratio for the quarter was a 101%, which improves to 99.5% on an attritional basis. Year-to-date the GAAP combined ratio was 102.2 again on an attritional basis excluding the impact from previously announced cat events and prior year development, the year-to-date combined ratio improved to 97.1%. This is inclusive of the expenses associated with the build out of our U.S. and Lloyd’s platforms, which added nearly two points to the expense ratio year-over-year. We do anticipate our Lloyd’s operation will absorb much of this increase as earned premium increasingly works its way through thus mitigating the impact here. The loss and loss expense ratio for the quarter was 71.3% which improves to 69.8% on an attritional basis. The loss and loss expense ratio for the quarter was impacted by some notable property per risk losses and a slight change for the loss ratio for our medical stop loss business. This was a result of a reevaluation of our experience over the first six months of this year and our expectations of this business going forward. It should be noted that this particular unit continues to deliver strong results for us including post this adjustment. On a year-to-date basis the GAAP loss and loss expense ratio was 73.3% with an attrition of 68.2% essentially flat year-over-year with the difference being predominantly 4.4 points of cat activity or events in the second quarter. I'll now provide some color on the performance of our major insurance portfolio starting with the North America P&G book which is our largest business. The core P&G portfolio delivered 19% growth in the quarter building upon a similar number from the second quarter of this year. Growth was balanced across short tails, specialty and casualty lines. Further our new business lines launched in the U.S. which have been discussed on recent calls, contributed nearly 11% of gross written premium in the quarter double the contribution from the second quarter of 2016. We are encouraged by the growing momentum within these portfolios and hence the opportunities ahead. The Accident and Health Group delivered another solid quarter of growth with the near 30% increase over the prior year comparable quarter, continuing the consistent trend we have experienced throughout the year. Our efforts awfully grow our medical stop loss segment have been successful and have our efforts to complement this growth with new products across Medicare supplement, sport disability and short-term medical markets. Our Lloyd’s operation also continue to expansion. Syndicate contributed $16.4 million to insurance growth in the quarter demonstrating the increased momentum we are gaining within this platforms despite the difficult trading environment. Year-to-date the Lloyd’s has now delivered nearly $35 million of premiums in reinsurance segment yet only $9.7 million earned premium which again temporarily impacts the expense ratio. We are encouraged by the growth trajectory of this platform and we will maintain our discipline in seeking profitable opportunities for growth. From the rate side, we see a very similar picture to what we have witnessed in the second quarter of this year. Within the U.S. market, we continued to achieve positive rate on auto lines both commercial and personal as well as on the general liability side. The professional liability market continues to be competitive with the rate decreases in the mid-single digit range across lines being common. The U.S. property market remains in a prolonged soft cycle; however, the magnitude of rate decreases continue to moderate from the third quarter. Large individual risk losses coupled with the severity of North American cat losses this year, punctuated by the first main storm making land fall in Florida in over a decade has provided a dampening to the rate decreases often sought. Thus despite a competitive market dynamic, we believe opportunities for profitable growth through a diversified portfolio remain. As respects to Canadian market, again a similar story to second quarter. The market remains competitive for most lines of business, but the major lines liability rates remain essentially flat to prior quarter. Canadian property rates have generally flattened in cat exposed areas within certain provinces, yet outside of these areas, there remain some moderate rate pressure. We will keep a close eye in January first renewal cycle to see how the market reacts to the record cat losses within Canada this year. Particularly the upcoming reinsurance renewals and any corrective rate measures that may follow. Management liability lines remain very competitive while other specialty lines are likewise still on the rate pressure but ultimately a bit moderated. So again, it’s a bit of mix situation yet trending similar to prior quarters. A notable difference here is the uncertainty of the property market as we enter year-end. In conclusion, we look forward to carrying our strong top-line momentum into the fourth quarter and into 2017. We are encouraged by the underlying trends of the many businesses we have cultivated over the past many months, and especially with the talented leaders we have attracted to Everest to lead these missions for us. As we continue to add skills through our grown operations, we expect these ventures to become a more meaningful profit contributor to our global portfolio. With that, let me turn it back over to Beth for Q&A.
Elizabeth Farrell: Thank you, Jon. Keith, we are open now to take questions from the audience.
Operator: [Operator Instructions] and we will take our first question Kai Pan with Morgan Stanley. Please go ahead, your line is open. Kai, please check the mute button on your phone. Okay we will go next to Elyse Greenspan with Wells Fargo. Please go ahead.
Elyse Greenspan: Yes, good morning. First off, I was hoping to in terms of your premium outlook, and it was the commentary on marketing systems Re. But as we think about going forward, do you think the reinsurance growth will kind of stay at about 2% or so ex-currency and the insurance growth kind of stay in-line with them the Q3 level as we think about the Q4 in 2017?
Dominic Addesso: Elyse, we don’t really try to give guidance on where we think our premium growth will come from. We do of course think that directionally on the insurance side is that will be the side of our business that will grow at an increased pace relative to reinsurance. It's hard to say at this point until we get a little further long into renewal season, depending on where rates are and depending on what the opportunities that are presented to us. So, I think a conservative view like you are describing is not unreasonable, but there is a lot of variability around that numbers.
Elyse Greenspan: Okay great. And then in terms of the international reinsurance segment, the underlying loss ratio in that segment was pretty strong about a 47% in the quarter, was there anything one-time impacting that number?
Craig Howie: Else, this is Craig. What happened this quarter was in the past we had seen a number of one-off type losses that were non-catastrophe type losses that held up the attritional ratio in that segment. We were able to bring that loss ratio down more in-line with where it should be absent those losses.
Elyse Greenspan: Okay, great. And then in terms of the insurance business, now that the crop sale has been completed, do you think we are at a point where on a go forward basis that segment maybe running a little bit off of your long-term goals, but the margins stabilize on a profitable level from here? And then combined with that at what timeframe do you think we will see the expense ratio normalize there for some of the hiring that you have done in that business?
Dominic Addesso: Well certainly for the next several quarters I think we will see the expense ratio remain where it is. Remembering that we will continue to pursue growth, so there will be quite a few quarters frankly where the written and the earned will be at a line so to speak, in other words the written will be well above we earned. Our expense growth through the nine-months have actually been consistent with our top-line growth. So the raise in the expense ratio is explained purely by that. I would also add, if you compare our expense ratio to many of our competitors or peer companies, we are well below industry average from the expense ratio point of view. So we are not discouraged by the amount of the investment we have make in order to grow this business. And as far as the overall combined ratio, we should expect that given the fact that crop is now out of the picture, we should expect that to be more stable and frankly even improve overtime, particularly as we grow some more of the specialty lines of business that we are focused on.
Elyse Greenspan: Okay, great thank you. And then one other thing, is at all possible in the supplement in the future, maybe you could include the insurance results the prior year, quarter just on a pro forma basis including the crop business to help with the comparables that would be pretty helpful. Thanks very much.
Dominic Addesso: We appreciate the suggestion and we will certainly talk about that. The other thing I want to add at least to your question is that - not to add to your question but to add in response to your question is that the other thing keep in mind that affects reinsurance premium growth, we have a fair bit of pro rata business, so depending on what happens with some of those accounts that can have an impact on the percentage growth. So you have to keep that in mind as well.
Elyse Greenspan: Okay. Thanks very much.
Dominic Addesso: Thank you.
Operator: And next we'll try to go back to Kai Pan with Morgan Stanley. Please go ahead.
Kai Pan: Thank you, can you hear me now?
Dominic Addesso: Yes, Kai.
Kai Pan: That's good. Thank you. Sorry for the earlier trouble. Maybe expense control on my side. So, just to follow up on Hurricane Matthew losses, $75 million to $200 million in net losses. I just wonder, could you give a little bit more detail in terms of in Florida or North Carolina? Is it wind or flooding? And how does that compare with your expectation? Because you have been pretty proactively shaping your portfolio in that part of the region.
Dominic Addesso: Well I'm going to make a few comments and then ask John Doucette to jump in here. But I think frankly it's a little early to maybe get into the specifics that you are after. The estimates that were used were based on modeled output as I said the industry range we frankly use greater but $9 billion I know there is a number lower than that on both the low side and the high side, we just rounded it as three to nine so that you had the full range of what the outcomes might be. I don't think the loss here is outside our expectations, frankly, our market share numbers again on this net basis that we are describing here is somewhere between 2% and 3%, probably middle of that would be a good estimate to use. So that's kind of the range of the outcome and that's not outside of our expectation. John, do you have anything further to add to that?
John Doucette: Thanks Dom, good morning Kai, just a little bit more on the loss. Most of the loss would be a reinsurance loss to us most likely, although we would have potentially some insurance losses, potentially in South Carolina and in terms of the overall split of the of the loss. We would point you that some of it would be coming from the Bahamas, where Everest is one of the larger reinsurers and have been for a long time in the Caribbean. So maybe about 25% of the loss and again that number will move around, but I'm just trying to give some directional guidance, but the majority of the loss would be a reinsurance loss coming from our Florida clients.
Kai Pan: Okay, that's great. And then given we had some sizable losses this year, it looks like January 1 renewal rates probably further stabilize. I just wonder, given the current market environment, basically flat pricing, would you expect to keep your reinsurance attritional combined ratio stable going forward? Or it will continue to have some pressure on the core margin side?
Dominic Addesso : I would think that it would be relatively stable and again keep in mind that I think in large part that’s a question about property cat. And things can change a lot based on other lines of business growing the casualty portfolio, growing mortgage, credit. All those things have an impact on the reinsurance attritional combined loss ratio and result to combined ratio. So a mix can play a big factor as well as what I mentioned to at least pro rata, some of those accounts go away or get reduced that has the favorable impact as well.
Kai Pan: Okay, that's great. My last question, and we have seen recently some tick up in terms of the merger acquisition activities in the space, and also in the press. There's a specialty insurance business, like a potential looking for sale. I just wonder, looking at your strategy, build-versus buy, are you interested in some of the -- like a potential business out there, you might be interested, as through acquisitions as well? Or any particular platform you would like to look into, to grow?
Dominic Addesso : Well, of course it's hypothetical, because it all depends on what is out there. Generally, I would have to say that most if not all properties that where companies are seeking strategic options, given Everest size and scale we get an opportunity to look at. And obviously we've made a decision to continue on the path that we are on. In most cases or in many cases it can be result of price, it can be cultural fit, integration is a challenge, and in many cases in acquisition you have to look not only to what you can combine but what you have to eliminate and what we prefer to stay focused on is what we can add to our existing portfolio. In addition, over the last 18 months or so the market has presented many opportunities to hire some great talent. We are very pleased with that and frankly that’s a more cost effective alternative, without having to put on a goodwill on the book.
Kai Pan: Okay, thank you. Yes, thank you so much. And if I may, just quick last one, is that your survival ratio on asbestos has dropped to 5.1 in the quarter. I just wonder, what do you see the trends here, and when do you do your annual reserve study? Thanks..
Craig Howie: For asbestos, we always look at asbestos on a quarterly basis Kai. We do the annual review during the fourth quarter, we always continue to look any and all trends that are out there, as well as any clients that are taking charges that we would have exposure too, but again we will look at that in the fourth quarter.
Dominic Addesso: And anything material as Craig says during any particular quarter we would have to put something there. But again it is subject to the yearend reserve reviews as well.
Kai Pan: Thank you so much.
Dominic Addesso: Thank you.
Operator: And our next question comes from Michael Nannizzi with Goldman Sachs. Please go ahead.
Michael Nannizzi: Thank you so much. Just a couple of numbers once if I could Craig you mentioned the tax rate would be in that sort of 13% to 15% range. If there are more losses in the U.S. proportionally than any typical fourth quarter, I would think the tax would be lower or is there something else that would cause the tax rate in the fourth quarter.
Craig Howie: Michael that’s correct, if there are more losses or higher end of the catastrophe losses, we would be at the lower end of that late that I said 13% to 15%.
Michael Nannizzi: Got it. The year-to-date is around 13, right so it wouldn’t be lower than what you experience through the year-to-date, it would just be at that same level?
Craig Howie: It really depends on how high it is and with respect to our planned losses in the fourth quarter. So again, that’s a annualized effective rates. So guidance that I gave was 13% to 15%, would be on the lower end if we had higher catastrophe loss.
Michael Nannizzi: Got you, okay thanks. And then we don’t see Mt. Logan on a standalone base anymore, but can you give us some color on sort of what the performance was in that portfolio in third quarter and whether you would expect the fourth quarter and the impact of Matthew to be similar there as it is in your on balance sheet book?
Craig Howie: So what we take through are the earnings and fees that we take are through other income. So far, year-to-date we've taken for $10 million compared to $15 million last year, the reason that it's lower this year is because the anticipated estimates for losses in the Logan book will remaining fees that we get until those losses are settled. So essentially that’s what you are seeing for Logan so far this year.
Michael Nannizzi: Got it. And then any change to 4Q deployment expectations given your sort of early read on Matthew or is that within your sort of load enough that it doesn’t change your perspective on deployment?
Craig Howie: I am not sure, the deployment you mean…
Michael Nannizzi: Sorry, a buyback capital share repurchase?
Craig Howie: No, I think what my comments and my remarks related to really the annual earnings, so quarter only as it impacts the annual earnings. So again, we look at the entire year, not just a quarter.
Michael Nannizzi: Okay. And then just one last if I could, just following up on Elyse's question on the international segment. The losses look like it was mid-40s pretty low by historical standards even going back to like hard market years. Was it that losses there were sort of more normal relative to higher losses in that linked quarter last year or were they actually sort of even lower than a more normal year, more normal environment?
Craig Howie: Yes, so in the past, we had elevated losses including losses all around the world, Latin America as well as you know floods in Middle East and North Africa as well. So in essence what has happened is we have seen lower levels of those losses as well as a different mix of business that’s coming through those books and what you are seeing is ratio that’s more in-line with where it should have been in the past.
Michael Nannizzi: Got it, great. Thank you so much for the answers.
Craig Howie: Thank you, Michael.
Operator: Next question will come from Jay Gelb with Barclays. Please go ahead.
Jay Gelb: My only question is Baden Baden, in terms of the Continental European Reinsurance Conference, is ongoing. Any live feedback you can provide us in terms of what the expectations are coming out of there?
John Doucette: Well, good morning Jay, it's Jon. So it's going on right now, so we haven't had too much feedback from our team to build there. But we do send a meaningful team from recovering both Continental Europe plus Middle Eastern African clients and others that make their way there as well. So I think one of the messages that we have is the continued build out of our capabilities, we've added various people in our European operation and with that have added product lines that we can support. So I think the larger buyers are continuing to consolidate their placement which we are a net beneficiary of and the fact that we have meaningful capacity to deploy with Mt. Logan and Everest also helps us be even more relevant to the client. And as I said we have been viewed as a stable partner and with the increase in our capabilities we expect to have more trading opportunity with our European and Middle East, Africa clients.
Jay Gelb: That's helpful. Thank you.
Dominic Addesso: Thanks Jay.
Operator: And we'll go next to Josh Shanker with Deutsche Bank. Please go ahead.
Joshua Shanker: Thank you for taking my question, if we think about 2017 and beyond, as we look at the expense ratio in insurance, how much of a drag is there from the significant growth going on, and so where do you think next year as Heartland changing into whatnot, where does that shake out.
Dominic Addesso: Well, as I mentioned before currently and I don't know that I would describe it as a drag, given the fact that as I pointed out we have even on the insurance side, one of the lowest expense ratios in the business. So our expense ratio insurance wise year-over-year is elevated by two points. I would expect that differential to remain there for few quarters if not several quarters, because we certainly would expect the written premium growth to far outpace the earned premium growth and our actual expenses are growing consistent with the written premium growth. So when the earned premium starts to stabilize relative to the written, then you will start to see that expense ratio come in a bit.
Joshua Shanker: Given the current size of the book at 200 basis points sort of build out expense on top, is that the right way to think about it.
Dominic Addesso: That's how we're thinking about it right now, correct. And by the way my point though is that you are calling it a build out, but in one word you could use is investment, the reality is, is that those expenses will be covered once the earned premium comes in to match it. or said a different way our expense growth is consistent with our written premium growth.
Joshua Shanker: And I think there is I have to go review the last quarter as well, but as Heartland comes out, as I'm looking back trying to compare 3Q 2017 to 3Q 2016 on the expense ratio how is that going to direct it.
Dominic Addesso: The expense ratio, maybe I'll answer it by a combined ratio basis, because I think this is what you were getting at, if not come back again. But right now our attritional combined ratio is in the mid 90s, 95, 96 somewhere in there.
Joshua Shanker: You need a 101 for the quarter.
Dominic Addesso: But I'm talking about ex cats and et cetera. So we think that our base book is running right now in the mid 90s, we would expect overtime frankly that number to improve more dramatically from improvements in the book of business and affecting the loss ratio, because that I think is where we see the major benefit coming from.
Joshua Shanker: And the quarter’s share relationship with Heartland incepts on 1/1 that's right?
John Doucette: The new quarter share in our business, in other words the Heartland was actually sold on August 24, so essentially what happens at that date is that insurance business then transfers over to be reinsurance business on the Everest books. And then we have quarter share with the new company to take in certain percentage of their overall book going forward in 2017.
Joshua Shanker: On the first debut?
John Doucette: Right.
Joshua Shanker: Will that be a considerable thing; are we going to notice that in a large way? I mean I don’t know how to model that exactly. In this relation besides of Heartland how big this new crop business is?
Jonathan Zaffino: This is Jon. I think for the next year or so we would expect it to be about the same size maybe a little bit larger than what the Heartland book was.
Joshua Shanker: Okay. Thank you for the answer, I appreciate it.
Dominic Addesso: Thank you, Josh.
Operator: And we will take our next question from Quentin McMillan with KBW. Please go ahead.
Quentin McMillan: Thanks very much guys. Sorry to beat the dead horse in terms of the expense ratio question and the insurance segment, but I’m just thinking about it on an absolute dollar basis. The dollar that you spent were about $44.5 million in the third quarter. Is the dollar value a better maybe run rate basis of a way for us to think about it, because obviously you have been very active in hiring. Just not sure if there was also any incentive bonuses that were paid that maybe gets stripped out next year or anything else in there that we should think about outside of the ratio, but just on an absolute dollar basis to help?
John Doucette: By the way Quentin thanks for referencing to us as a dead horse. Quentin $44 million that Quentin is referencing, I think includes our - rate so we have to carve that out. But as we carve that out back to the point yes you are right, expense dollars or definitely up, as Dom said expense dollars are going to be up as net written premium is up as well, because we are growing that book. I don’t think you are seeing in outsized increase and expenses with respect to the increase in net premium. So from a percentage basis the overall ratio, the expense ratio has gone up just over two points. And that’s the way we are looking at it for now that it will stay at that level until we build out this book and then as you see the build out of this book in some of these new programs that business will earn in overtime. And as it earns in that’s when you will see that expense ratio start to moderate.
Dominic Addesso: And the other way that you might want to think about Quentin is in terms of building models, you might want to also consider modeling the expenses or looking at our expense ratio relative to written as oppose to earned.
Quentin McMillan: That’s a good thought. Thank you and then just in terms of coming back to 1/1, it sounds like Jon your expectations sounds like its four or flattish, renewal which will be better than we have obviously seen recently. Can you just talk about any change in sentiment or perception, obviously Matthew was on a crash course to a lot more damage than what ultimately happened when it turned East. Do you think that there is psychological impact from that that we are going to feel at 1/1 where when you go to clients you will be able to have a more honest conversation that the risk is real and that there is more ability to give more in pricing. I mean just should I talk about that dynamic at the 1/1 renewal please.
Jonathan Zaffino: Sure, I think it is something that’s real. Remember this is the first real land fall in 10 years, so I think that’s factoring into the psychology of the conversations and psychology of the buys of some of the clients. I mean look there is a lot of capital out there and we ultimately don’t know how we will go, but there will be profits we think we will better than others. We do think that U.S. is stabilizing particularly in the property and on the casualty as per the by our conversations about exceeding commissions on casualty rates and push back we have seen. So I mean we saw some of that as 6/1 and 7/1 on both the property and the casualty side. So international, it really depends on the geographic territory or where do we think rates are going to be flat or not. So but as you think to your point, I do think that it's not just the Matthew, but it's also risk losses, we have seen some large risk losses that can do some real damage to reinsurers as a quarterly income, and I think that also is starting to factor into the conversation.
Quentin McMillan: Thanks guys, and if I could just speak one last one on the mortgage insurance opportunity. You guys have sort of indicated in the past that you would preferred to play it on the reinsurance side I believe, because you can be a little bit more nimble to enter and exit the market as you see opportunistic options available to you. But can you just sort of give us a sense of what size you are and potential sort of what you might look to grow that book of business over the next couple of years?
Craig Howie: So, we have written a couple of these deals and multi-years deals and so they earn in over seven year period or longer. And so earned premium certainly from the GSEs has not been that high, but from the deals we have already executed we expect to see in future premium is coming in from those, from some of the MIs. They spend been more on quota share basis, those have been larger to date. And it really depends on what their capital needs are going forward as to whether those are going to be a growth opportunity or not, it really depend on a lot of different things. Certainly the regulations have caused them to delever from 25 to one to about 18 to one and they are using reinsurance to buffer that capital support, we like that. So to answer your question about opportunity in capacity, we see a lot of run rate there on the reinsurance side, and we expect to continue to put forth capacity at the appropriate price.
Quentin McMillan: Great. Thank you so much guys.
Operator: And it appears we have no further questions. I’ll return the program to our presenters for any closing remarks.
Dominic Addesso: Thank you to all that participating in the call. And kind of in summary, let just say that we are very obviously pleased with the quarter. Notwithstanding that to these challenges remaining at there as you all know. Certainly, market pricing is to top of the list and insurance growth for us is a journey that requires a lot of lot of hard work. We remain confident however that as far as cycles are concern, we had proven that we can effectively manage through these cycles, managing our exposures and our P&Ls and taking advantage of the opportunities that the market is giving us. On the insurance side, we remain focused on specialty areas in particular because this gives us better opportunity to avoid commodity type pricing. Ratings and scale make a difference and give us an opportunity to grow our insurance book, and while, as evident by the questions, expenses are up; but the growth there as I said is consistent with our written premium growth as it should be, the earns just has to catch up. And again, I want to emphasis that we are still best-in-class on the expense ratio side. So that’s something organizationally we pay attention to in both businesses. Overall, our flexibility allows us to commit our capital and resources to the best opportunity and our plan is to just continue this approach which has been successful for us in the past. Thanks for your interest in Everest and have a great day.
Operator: And ladies and gentlemen this will continue today's program. Thanks for your participation. You may now disconnect and have a great day.